Operator: Good afternoon, ladies and gentlemen. Thank you for standing by, and welcome to PTC's 2025 Fourth Quarter Conference Call. [Operator Instructions] I would now like to turn the call over to Matt Shimao, PTC's Head of Investor Relations. Please go ahead.
Matthew Shimao: Good afternoon. Thank you, operator, and welcome to PTC's Fourth Quarter and Fiscal Year 2025 Conference Call. On the call today are Neil Barua, Chief Executive Officer; Kristian Talvitie, Chief Financial Officer; and Robert Dahdah, Chief Revenue Officer. Today's conference call is being broadcast live through an audio webcast and a replay of the call will be available later today at www.ptc.com. During this call, PTC will make forward-looking statements, including guidance as to future operating results. Because such statements deal with future events, actual results may differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements can be found in PTC's annual report on Form 10-K, Form 10-Q and other filings with the U.S. Securities and Exchange Commission as well as in today's press release. The forward-looking statements, including guidance provided during this call are valid only as of today's date, November 5, 2025, and PTC assumes no obligation to update these forward-looking statements. During the call, PTC will discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in today's press release made available on our website. With that, I'd like to turn the call over to PTC's Chief Executive Officer, Neil Barua.
Neil Barua: Thank you, Matt, and good afternoon, everyone. I'll begin by addressing the press release we issued earlier today regarding the definitive agreement we've reached for TPG to acquire our Kepware and ThingWorx businesses. This is exciting news for us. For our Kepware and ThingWorx customers, this move is designed to enhance the value these products deliver. By partnering with TPG, Kepware and ThingWorx gained additional investment, expertise and operational focus, all for the businesses to continue growing and delivering more for customers. For PTC, this move increases our focus on the area central to our Intelligent Product Lifecycle vision. CAD, PLM, ALM and SLM and the growing emphasis on SaaS and AI. With our resources and investment concentrated in these areas, we will continue helping our customers address some of their most pressing challenges by enabling them to fully leverage the value of their product data and to transform each stage of life cycle. When the transaction closes, we will maintain a close relationship with the Kepware and ThingWorx businesses to ensure a smooth transition. Kristian will walk you through more of the transaction details in a few minutes. Turning to fiscal '25. Q4 was another quarter of solid execution. We delivered 8.5% constant currency ARR growth and 16% free cash flow growth year-over-year. Throughout the quarter, we were encouraged to see some of the early benefits from our go-to-market transformation show up operationally. Our execution on large strategic agreements improved through better coordination between our sales, technical and customer success teams. We said on our Q3 call that we had a robust pipeline of large Q4 deals, and I'm proud to say we closed most of them. The dynamics of these deals are encouraging in the context of our Intelligent Product Lifecycle vision and focus areas. We won our largest Codebeamer deal ever as a customer in the automotive vertical decided to move up legacy processes and invest in its next-gen product data foundation. A large windshield competitive displacement win in the med tech vertical was alongside of ServiceMax expansion, reinforcing this customer's commitment to building a product data foundation and extending that data to other parts of the life cycle. We also won the largest Onshape deal ever. This was a competitive displacement with the customer embracing the workflow and collaboration benefits of a cloud-native SaaS offering. You could read more about our customer wins across verticals in our appendix slides. ARR came in at the middle of our Q4 guidance range, which reflects the variability of the large deal structures we discussed in our Q3 call. Importantly, we ended the year with record deferred ARR under contract, providing strong visibility into fiscal '26 and beyond. While not all of that converts immediately, it gives us confidence in our growth trajectory as these multiyear ramps activate. In addition, our go-to-market teams are operating with great alignment across verticals and geos. We continue to execute on commercial optimization levels and the overall feedback from the field is very positive. Our marketing messaging. Focus on our Intelligent Product Lifecycle vision is helping customers clearly see how our portfolio enables them to leverage their product data to transform with AI. Finally, we appointed Jon Stephenson, an industry veteran, as Chief Product Officer. Jon is establishing a clear product operating rhythm to support our go-to-market motion and tightening product and R&D linkage to increase the pace and predictability of road map execution. Overall, Q4 capped off a year of steady, disciplined execution during a volatile market environment. The go-to-market momentum we described last quarter didn't fade, it accelerated. Our teams leaned into the transformation and strengthened customer relationships at the executive level and we saw clear evidence of multiproduct adoption across verticals. When we started the go-to-market transformation, we said it would take 18 to 24 months to hit full stride. Less than a year in, the factors we control are clearly moving in the right direction, and we are focused on making them more repeatable and sustainable in fiscal '26. Regarding the outlook for fiscal '26. For ARR growth, we are guiding to a range of 7% to 9% with Kepware and ThingWorx; at 7.5% to 9.5% without Kepware and ThingWorx. We are also well on track to deliver $1 billion of free cash flow in fiscal '26, including Kepware and ThingWorx. Regarding net new ARR, Q1 will be similar to last year and we expect momentum to build through the year, supported by the shape of our pipeline and deferred ARR. The high end of our annual ARR range accounts for continued improvements in our go-to-market progression, minimal customer disruption from the Kepware and ThingWorx divestiture and a relatively steady macro environment. The low end of our annual ARR range accounts for some worsening in the macro environment and unexpected disruption from the divestiture. Variability in deal structures can also move us higher or lower in the range. Our confidence in fiscal '26 is underpinned by our focus on our Intelligent Product Lifecycle vision. AI is cementing the importance of structured product data foundations and PTC is uniquely positioned to make these possible. Customers understand that applying AI to siloed or stale data doesn't work and are turning to PTC's portfolio to build their data foundation. This begins in engineering and extends to other departments and functions across the life cycle. AI is then applied to this contextual data and even more substantial transformations become possible for our customers. We're enhancing our CAD, PLM, ALM and SLM offerings to make it even easier to build a product data foundation, and we're embedding more AI. We've recently released new AI capabilities in ServiceMax, Servigistics, Onshape and Arena, and we have a strong Creo AI road map underway. We are also on track to release new versions of Windchill, Windchill+ and Codebeamer in the weeks ahead. I would like to now turn to our capital allocation strategy. In fiscal '26 with our leverage below 1x, we expect to return excess cash to shareholders. We expect to buy back between $150 million and $250 million worth of shares per quarter during fiscal '26, starting with $200 million in Q1. Our capital allocation strategy remains disciplined and flexible as we will continue to make investments in R&D around our Intelligent Product Lifecycle vision and leave the door open for tuck-in acquisitions. In summary, we feel momentum building. We're pleased to share today's news about Kepware and ThingWorx, and we're happy they're set up for success with TPG. And for PTC, we move with clarity and a purposeful direction with the entire company focused on delivering our Intelligent Product Lifecycle vision for customers. With that, I'll turn the call over to Kristian.
Kristian Talvitie: Thanks, Neil, and hello, everyone. Starting off with Slide 6, I'd like to provide some more details on the Kepware and ThingWorx divestiture. The transaction is expected to close in the first half of calendar 2026, and our expected use of net after-tax proceeds will follow our overall capital allocation strategy of returning excess cash to shareholders while leaving room for any potential tuck-in acquisitions. We could receive up to $725 million in total cash consideration if certain thresholds are achieved. We expect either $565 million or $600 million upfront, depending on performance during the period up to close. The $125 million future potential earn-out is based on certain criteria related to a potential future transaction by the buyer. Assuming an April 1 close and a $565 million upfront payment, we would expect net upfront proceeds of approximately $365 million after working capital and indebtedness adjustments, divestiture-related fees and taxes related to the transaction. Turning to Slide 7. In fiscal '25, ARR attributable to Kepware and ThingWorx was approximately $160 million, and constant currency ARR growth was negative 1%. Including perpetual license and professional services revenue, the revenue contribution of Kepware and ThingWorx was approximately $200 million. We estimate that approximately $70 million of free cash flows was attributable to Kepware and ThingWorx in fiscal '25. For fiscal '26, we're providing constant currency ARR guidance for PTC, including and excluding Kepware and ThingWorx. ARR growth, excluding Kepware and ThingWorx, is expected to be 50 basis points higher. Also, for fiscal '26, we expect the Kepware and ThingWorx transaction will impact our as-reported free cash flow primarily due to onetime transaction-related items. To illustrate, I'll take you through a model on Slide 8. Starting at the top with our $1 billion of free cash flow guidance for fiscal '26, which assumes Kepware and ThingWorx are a part of PTC for the full fiscal year. Assuming the transaction closes on April 1, 2026, we would expect lower net cash inflows related to Kepware and ThingWorx in the second half of fiscal '26. However, we would expect this to be largely offset by a transaction services agreement, which begins upon close. If the transaction closes sooner than expected, there could be a modest impact to free cash flow. Related to the transaction, we expect to incur approximately $160 million of onetime cash outflows. Approximately $35 million of this relates to onetime divestiture-related fees and approximately $125 million relates to onetime cash taxes. We'll have more clarity on those items when the transaction closes, and we'll provide an update at that point. Remember, from an accounting perspective, the proceeds will show up in cash flow from investing, while taxes and divestiture-related costs will show up in operating cash flows. Assuming an April 1, 2026, close, this model shows that our as-reported free cash flow would be approximately $840 million in fiscal '26. You will have clear visibility to the onetime cash outflows in our reporting, and we will officially update our guidance post close. But as we think about fiscal '27, we expect to be building off the approximately $1 billion we are guiding to this year and we'll need to factor in up to $50 million of headwinds from the divestiture, which is the run rate of Kepware and ThingWorx cash flows, partially offset by TSA income, which we expect to continue. Moving to Slide 9 and a review of the results we just reported. As you know, we believe ARR and free cash flow are the most important metrics to assess the performance of our business. To help investors understand our business performance, excluding the impact of FX volatility, we provide ARR guidance and disclose our ARR results on a constant currency basis. At the end of Q4, our constant currency ARR using our fiscal '25 plan FX rates was $2.446 billion, up 8.5% year-over-year. And while I know that we consistently tell investors to focus on ARR and free cash flow rather than revenue and operating income. Given some of the dynamics in the quarter, I do think that it's prudent to talk a little bit about the revenue beat versus the midpoint of our guidance range for the quarter and put this in context with our ARR results. We came in at the midpoint of our guidance range for net new ARR in Q4. And as we discussed on our last call, the biggest variable between the high and low ends of the range was going to be deal structures. It certainly played out that way. In Q4, our teams did a great job, and we contracted a record amount of customer commitments. Many of these were in the form of ramp deals, many included commercial optimization levers, and several new and renewing contracts came in with longer-than-anticipated term length. In fact, our average term length in Q4 increased from approximately 2 years in Q4 of '24 to approximately 3 years in Q4 of '25. The way revenue accounting works for on-prem subscriptions under ASC 606, we record approximately 50% of the total contract value when the deal starts, and we recognize the rest ratably over the term. As was evident from our revenue guidance for Q4, we were expecting a healthy uptick in revenue, reflecting the mix of large multiyear renewals and large contracts in the pipeline. But what actually happened was that we beat the midpoint of our guidance range by $140 million and the high end by $110 million. So going back to ARR. You'll recall that ARR is the best approximation of annual billings related to recurring contracts because it's aligned with the amount that we invoice the customer on an annual basis. And as far as future contractual commitments, well, in the ARR way of thinking, that is recorded as deferred ARR. In the traditional P&L way of thinking, that shows up in RPO. And when we report our RPO in our 10-K, you'll see that it's up more than $550 million, both sequentially and on a year-over-year basis. But remember, not all of that turns into ARR or revenue in fiscal '26. There's additional deferred ARR in fiscal '27 and beyond as well. This should help explain why our revenue growth in the quarter significantly outpaced our ARR growth. All in all, it was a solid quarter with a lot of long-term positive impact that you don't see in our current ARR results or near-term outlook. The significant revenue beat is also what drove the significant EPS beat. On the cash flow side of things, we generated $100 million of free cash flow in Q4. For the full fiscal year, our free cash flow was $857 million, up 16%. Note that the free cash flow we generated in fiscal '25 absorbed approximately $20 million of outflows related to our go-to-market realignment. Our 16% free cash flow growth in fiscal '25 illustrates the operating leverage we benefit from as our ARR grows. Another way to illustrate our operating leverage is through our operating efficiency percentage, which expanded by 310 basis points to 45% in fiscal '25 compared to 42% in fiscal '24. You can see this in our illustrative cash flow model on Slide 23. Next, turning to Slide 10. Before I take you through our guidance, let me walk you through how we guide and report ARR. For fiscal '25, we provided constant currency ARR guidance and reported constant currency ARR results for all periods using our fiscal '25 planned FX rates, which were as of September 30, 2024. And for comparative purposes, at the same time last year, we also recast historical constant currency ARR amounts at our fiscal '25 planned FX rates. For fiscal '26, we're taking the exact same approach with historical results, recast using our fiscal '26 planned FX rates, which are as of September 30, 2025. For new investors who may not be familiar with our approach, please reach out to me or Matt and we'd be happy to do a deep dive. With that, I'll take you through our guidance on Slide 11. Because we don't know exactly when the Kepware and ThingWorx transaction will close, our guidance for fiscal '26 and Q1 '26 includes Kepware and ThingWorx for the full year. The exception is ARR, where we are additionally providing guidance that excludes Kepware and ThingWorx. All the ARR amounts on this slide are based on our fiscal '26 planned FX rates. For constant currency ARR, excluding Kepware and ThingWorx, we expect growth of approximately 7.5% to approximately 9.5% in fiscal '26. For constant currency ARR, including Kepware and ThingWorx, we expect growth of approximately 7% to 9%. Our ARR guidance is mindful of the efforts required to separate Kepware and ThingWorx as we push toward a closing expected in the first half of calendar 2026. From a linearity perspective, we're expecting similar quarterly seasonality as in fiscal '25 for net new ARR. This primarily has to do with the shape of the pipeline, linearity of churn and the linearity of deferred ARR, which is heavily skewed to Q4 in fiscal '26. Note that our cash flow guidance is not on a constant currency basis. And to be clear, our business is currently constituted, is on track to deliver approximately $1 billion of free cash flow in fiscal '26. We have a high degree of confidence in our guidance for free cash flow due to the predictability of our cash collections and the disciplined budgeting structure we have in place. Importantly, we've maintained consistent billing practices over time. We bill primarily upfront annually 1 year at a time, regardless of contract term lengths. So our free cash flow results over time are comparable. In fiscal '26, we expect similar invoicing seasonality compared to the previous 5 years. Based on this and our expected cash outflows we expect approximately 55% to 60% of our free cash flow to be generated in the first half of the year and for fiscal Q4 to be our lowest cash flow generation quarter. Some of you may have noticed that our guidance assumption for CapEx is stepping up by approximately $20 million in fiscal '26, which is also absorbed in our guidance for free cash flow. We view this as onetime in nature because it's related to moving a major R&D center to a new office. Although our focus is on ARR and free cash flow, we're providing revenue and EPS guidance to help you with your models. It's worth noting that our revenue guidance for fiscal '26 looks different from fiscal '25. We expect revenue to be up north of 10% in the first half, up in the mid-single digits in Q3 and to decline in Q4. This obviously reflects the dynamics I discussed earlier, with Q4 being down given the significant overperformance in Q4 of '25. Moving on to Slide 12. Here's an illustrative constant currency ARR model for fiscal '26. Focusing on PTC, including Kepware and ThingWorx, the column on the right illustrates the midpoint of net new ARR growth that corresponds to our fiscal '26 constant currency ARR guidance range of 7% to 9%. Consistent with my reminder from last quarter, we expect churn to remain low in fiscal '26 because our customers need to maintain subscriptions to our software to continue designing, producing and servicing their products. Turning to Slide 13. Here's a similar illustrative model for Q1 of '26 focusing on PTC, including Kepware and ThingWorx, the column on the right illustrates the dollar range of Q1 26% sequential net new ARR growth that corresponds to our Q1 '26 constant currency ARR guidance range of 8% to 8.5%. As a reminder, Q1 is typically our lightest net new ARR quarter given normal renewal seasonality and the timing of larger enterprise transactions. As I mentioned earlier, we expect similar linearity for net new ARR in fiscal '26 compared to fiscal '25. What's important, however, is what Neil mentioned earlier, that our demand capture remains healthy in a challenging macro environment, and we're entering the year with a stronger pipeline than when we started fiscal '25 and a solid deferred ARR balance which is heavily skewed to Q4. As you know, our net new ARR can be somewhat volatile in any given quarter, given dynamics such as new or renewal bookings seasonality, timing of deferred ARR, starting how much of our new bookings in any given quarter starts in the quarter, how much churn we expect in any quarter, et cetera? All of that said, we feel good about the state of the business, the focus on the Intelligent Product Lifecycle and its relevance to our customers as evidenced by our pipeline. We have many initiatives underway to capture the opportunity to drive net new ARR growth in the future. With that, I'd like to turn the call back over to the operator for the Q&A session.
Operator: [Operator Instructions] Your first question comes from Ken Wong with Oppenheimer & Co.
Hoi-Fung Wong: Fantastic. Neil, congratulations on the divestiture of the IoT business. Perhaps you can give us some context behind the decision to move on from ThingWorx and Kepware. And then what should we, as investors, deem to still be strategic in the portfolio? Are there any other products or components of the IoT business that still needs to be shut off?
Neil Barua: Yes. Good to hear from you, Ken. So first off, on the decision process, as I've been saying for a couple of years now, we've been really focusing on putting the wood behind the arrows around the things that create the greatest customer opportunity and for PTC where we have the highest right to win. And we talked through all the core priorities, which has now formulated itself into this vision around the Intelligent Product Lifecycle. And because of that and because of the needs and the requirements for our customers around execute across that vision, we decided to make sure that every single person in the company all our resources or attention are dedicated to executing across achieving that vision of the Intelligent Product Lifecycle. And so that's the way we led towards the strategic decision on saying, look, at the end of the day, Kepware and ThingWorx, good businesses, great products, but quite frankly, TPG has a thesis of getting deeper onto the factory floor in operations. And those products will do very well under that framework, leaving PTC, the ability to really continue to deliver what hopefully you saw in Q4, Ken, around executing around our core priorities and just ramping up that focus and attention on it. In terms of your second question around the strategic component of what we have left. I feel good as we sit here around the portfolio and how it relates to the Intelligent Product Lifecycle, how it relates to building a product data foundation for our customers, how it relates to our ability to apply generative and agentic AI to that product data foundation and how to send that product data to other constituents of our customers like in the service department, et cetera. And so collectively, I feel good now that with the transaction closing, we have an ability now to fully focus all our portfolio and energy across -- executing across the Intelligent Product Lifecycle vision that we laid out.
Operator: Your next question comes from Jason Celino with KeyBanc Capital Markets.
Jason Celino: Great. I know a lot of moving parts, and it's somewhat a muted point because of the Kepware cash tax implications, but Kristian, the $1 billion free cash flow guidance, is there any way to know how much of a [ OBBA ] benefit you're expected to see next fiscal year?
Kristian Talvitie: So there is some tailwind from the new Section 174 decision that was in [ OBBA ] that is included in that number. To be honest, we don't actually have to make the final decision on which of the 3 main doors, i.e., the all 1 year, 2 year or just let the amortization run out doors, we go through until later this fiscal year. Remember, though, that that's also offset, also included in that kind of $1 billion number is the incremental CapEx that we're seeing related to the transition of one of our largest R&D facility into a new office. So there's a bunch of puts and takes that go into that number. But certainly, the tailwind from Section 174 is included in that number.
Operator: Your next question comes from Clarke Jeffries with Piper Sandler.
Clarke Jeffries: I wanted to ask how you would characterize the push versus the pull with the deal structures this quarter. Did you feel like some of these customers were wanting to push out certainty and maybe they wanted to make the commitment, but they didn't know what the next 12 months might hold for them, so they wanted to commit to a ramping deal or a longer duration agreement? Any color there would be helpful.
Neil Barua: Sure, Clarke, good to hear from you too. The -- so let me be clear, in Q4, as we mentioned on our Q3 call, we had a number of large transactions in the pipeline. As I mentioned in the upfront, we closed the majority of those, an excellent execution by the team. We also mentioned that the variance in the ARR for Q4 would happen based on the variability of how the deals will get structured. And in the larger deals, in some transactions, as we've noted, there was ramp deals. And those are committed, contracted elements of the deal, not, maybe we'll spend the money. Those are contracted with PTC, and we chose to do the right thing for the customer and ourselves, which is execute and capture that demand and have a large set of deferred ARR, as Kristian talked about, in '26 and even a larger set of net deferred ARR post-2026 with some of these deals that we captured within Q4. So we feel good about it. And it's -- ultimately, as we think about as stewards of the business, capturing the customer demand, having them commit to it, which is exactly what deferred ARR is, is what we're playing towards. The anomalies back and forth of what is in quarter start within a quarter or 2 is something that is important, but not as important as the capturing of the customer demand.
Operator: Your next question comes from Blair Abernethy with Rosenblatt Securities.
Blair Abernethy: Congrats on the Kepware sale. I guess 2 things for me, Neil. First off, as you kind of move away from the factory floor a little bit here, how are you thinking about your TAM business, computer manufacturing side of things. Is that -- does this alter your view on that at all?
Neil Barua: No, I actually feel better than I did about the addressable market that we're playing into with Intelligent Product Lifecycle than I did 2 years when I took the job. And the reason for it is that throughout the portfolio of building what we're calling the product data foundation with our CAD capabilities, with our ALM capabilities, with our PLM capabilities and then our SLM capabilities anchored by ServiceMax and Servigistics. When we think about that opportunity and where the customers are driving for their digital transformations to make sure product data is clarified across their enterprise and sent to the right constituents. And then Blair, adding on top AI to that product data foundation has so much breadth and capability for us to execute across. And you saw that again in the customer testimonies that we showed in Q4 around customers really acclimating to the strategy, wanting it and really energized about our AI strategy that is a part of the Intelligent Product Lifecycle. So Blair, I'm more thrilled than ever before starting today that we have executed across the ThingWorx, Kepware, put it in the right home because we got a lot of business to take care of here on our existing strategy across the Intelligent Product Lifecycle.
Blair Abernethy: That's great. And if I could just slide in one for Kristian. Kristian, just kind of looking at your net new ARR growth of $194 million last year, and you're saying midpoint, $195 million this year. How are you feeling about the overall environment that you're going to book at the same kind of level, just kind of how do you sort of come to that -- come to the number for '26?
Neil Barua: Blair, I raise my hand. So let me take the front end of this, and then Kristian could add to it. The way we're looking at it is this approach of our guidance for '26, I would characterize as a disciplined approach to making sure you understand the dynamics of how we're thinking about this year. First off, we're benefited by a very strong committed deferred ARR entering this year versus what we had last year. So that is a strong set of ballast that we've got within a committed set of ARR coming into the business, predominantly in the second half of the year and predominantly in Q4, as we mentioned. We also have been undertaking, as we mentioned, a go-to-market transmission that is about 9 to 10 months in the making, and we feel very strongly that we've moved the ball forward but still the work needs to now become a repetition and durable. And when we think about that, in light of the divestiture and, call it, the 6-month time period from today's announcement to close or 9 months in calendar year, but in that framework, we modeled out April 1. When we take the context of all the work needed to talk to customers that are jointly looking at pipeline opportunities with ThingWorx, Kepware and other products, we took that into consideration and said, look, if there is disruption at all from this divestiture for the next 6 to 9 months and the macro gets worse than what it is right now, then there's a possibility of the low end being something that we all should consider. But if we're looking at the way the business is going right now and we think about the deferred ARR, the momentum that Rob and team have been building on the go to market and think about the customer pull that we're getting, the midpoint is actually with the macro not getting worse or better is a good way to look at it. Now we have -- the reason why we're disciplined, we actually have line of sight to get to the high end of the guidance in terms of go-to-market progression continues to repeat, the greatness that we saw in Q4, builds on that and continues that process. The macro doesn't get weaker and tightened -- Kepware and ThingWorx actually doesn't become a distraction. We've got that range from a disciplined manner. So the good news is we're looking at it, we're being disciplined around our approach. We got a lot of hard work going to make sure this go-to-market transformation continues on the path it is. And we're working hard to make sure that results speak for themselves as we get into the course of this year.
Operator: Your next question comes from Matt Hedberg with RBC Capital Markets.
Matthew Hedberg: Great. Neil, it's been about a year since you put in the verticalized sales force. I'm curious, are there any other significant go-to-market changes that you're planning for this Q1? And how might that sort of vertical focus pay additional dividends as you get another year under your belt?
Neil Barua: Yes. So I'll start and Rob sitting right here next to me, ready to get called into this match here because he's excited to share with you what the plan is. But I will say that this year is about, as Rob mentioned, the foundation of the go-to-market transformation was set last year. The fundamentals of what he and team wanted to accomplish, foundation was set. He had an incredible kickoff the first time in 8 years at PTC, we had one a couple of weeks ago. And you could feel the energy and excitement around now let's execute across the Q4 momentum. Let's repeat it. Let's make sure it's consistent. Let's get the messaging consistent, let's get the C-level messaging and acknowledgment consistent. And I see Rob and the go-to-market team as let's keep repeating and scaling and making this durable. But I'll let Rob talk about exactly what he's thinking about as he enters this year?
Robert Dahdah: Yes. So thanks for the question. As you know, we did do that alignment by vertical and industry, which was a really important move to set us up for growth. And that alone, just coming through that as the team did and being able to deliver in the 3 quarters that had happened was an incredible accomplishment on its own. As Neil just mentioned, we had our first global kickoff [ at which ], by the way, we had our partners in the room for the first time. So side by side, getting the message unfiltered directly at the same time, which was a stated goal of ours to bring the partner community closer and to expand our reach through our SIs. So that was a great start to the year. And what we have this year that we didn't have last year was that all of that potential disruption is out of the way. So this year, we can make all of our efforts fixed on elevating the message, which we talked about, we have this -- a way to get now to the C level that we didn't before. To tell a story there that I think will definitely resonate and has already tested that in Q4. We're starting to diffuse that through our customers and also through our go-to-market organization. We're reaching out to our SIs in ways we hadn't before and not only through, of course, inviting them to our kickoff, but doing it in a more methodical way where there's a great opportunity for them, for our mutual customers and for us to benefit. And now we're going to start to think about how we feather AI into our talk tracks along the vertical, so we can have much more specific messaging that resonates better by industry, and we think will create better traction and better win rates.
Operator: Your next question comes from Jay Vleeschhouwer with Griffin Securities.
Jay Vleeschhouwer: Neil, you used 2 of my favorite words, road map execution. And it's interesting as you said that, because for the last number of years, PTC has, I think, done well in that regard, particularly with regard to Creo and Windchill, hence the share gain for each. So what is it from here that you mean precisely with regard to additional improvements in that execution? And how does it tie into the multi-solution 3-letter acronym type sales that you're trying to do? And then a quick one for Kristian. Since you noted the record increase in RPO. Could you comment as well on current RPO? How that looks sequentially or year-over-year?
Neil Barua: Let me take the front end. So Jay, thanks for the question. I would say that, yes, the execution for 40 years of this company around building great products has gotten us this far. And what I think Jon Stevenson, who you'll soon meet, is aligned towards doing in collaboration with his colleagues across the other functions is as an example, with Windchill, and you'll see this, Jay. The execution around a new UI/UX that actually end users will adopt more and be able to think about how to use product data more available across the enterprise, is something that we're executing towards, and Jon is putting just want to make sure it happens on time, it happens before customers and our sales team to even ask for it in urgency, right? Because we know that, that is a need. So just the rigor around making sure road map items result in customer value and Rob's team can actually think about the value that they could get from a sales team perspective. That is actually an element of what we've done in alignment that is newer to the company than the last 10 years, I would say. And it's got really good value already. That's point number one. Number two is on the AI initiatives. So you're seeing a lot of announcements coming out, and part of it is because we've been working with our customers a lot on POCs and beta to make sure we embed AI into our core products. And you're going to see Codebeamer, Windchill, you saw Arena, ServiceMax, Onshape. You're going to see this continuous flow of execution of road map that is aligned to how does AI, with this incredible contextual data that we've got in our core systems, give benefit and outcomes to our customers that no one else can provide to that customer other than PTC. And that's the area where Jon is like pushing on very aggressively. He was in Israel last week. And really to summarize this, Jay, making sure that teams are aligned to execute that AI road map in conjunction with the Intelligent Product Lifecycle for our core products that give real value to our end customers across the core capabilities we got. Kristian?
Kristian Talvitie: Jay, thanks. In terms of the current portion of the RPO, I think you'll see in the K when it comes out that approximately 55% of the total RPO we'd expect to recognize over the next 12 months.
Operator: [Operator Instructions] Your next question comes from Tyler Radke with Citi.
Tyler Radke: Congrats on all the announcements here. Neil, maybe a big picture for you. I mean, clearly, the divestiture of the IoT business, the buyback in terms of allocating a lot of capital back towards PTC, really seems to indicate you're doubling down on the core CAD and PLM aspects of the business. Like how do you think about where the growth of this business could go over time? What are sort of the key levers you need to see for this business to get back into the double digits?
Neil Barua: Yes. So look, the good news here, Tyler, is that we're building momentum towards putting all the foundational layers to come and create a repeatable way to say we're going to consistently and sustainably continue to grow net new ARR, right? And the first part of that decision process and the foundation laying was centering the student body and now the customer messaging around this disciplined and innovative Intelligent Product Lifecycle vision. And that's resonating with customers. It resonated in Q4. And as you heard Rob say, he's going to make it resonate even more over the course of this year. So setting the strategy and vision was critical. Setting the student body directing towards that has been critical. Setting the foundation of all the practices and businesses has been critical. And now the cleaning up of all the focus of the business being put right into this vision that we've got versus the IoT businesses is setting us up for building on our already momentum that we saw last year. But in this course of this year, Tyler, to make sure we execute across all those things that we are super jazzed about executing towards. And so what I think the good news here is that the ingredients of being able to answer a question and the process and progress that we're making on those ingredients have moved materially forward from 12 months last year, right? This year is important to repeat that and make it durable. And at that point, we'll be able to come back and say, "Look, here's the durable growth rate for the business." But we're focused on making sure the underpinnings are taken care of. And then we know that the results will speak for themselves over time.
Operator: There are no further questions at this time. I'll now turn the call back over to Neil for any closing remarks.
Neil Barua: Thank you all for joining. We appreciate it. A number of us will be on the road [ hitting ] the investor conferences, and we look forward to seeing some of you there. And again, thank you for your support and participation in today's call. Thank you.
Operator: This concludes today's conference. Thank you for participating. You may now disconnect.